Operator: Good afternoon, ladies and gentlemen, and welcome to the Deutsche Börse AG Analyst and Investor Conference Call regarding the Q3 2021 results. At this time, all participants have been placed on a listen-only mode. The floor will be opened for questions following the presentation. Let me now turn the floor over to Mr. Jan Strecker.
Jan Strecker: Welcome, ladies and gentlemen and thank you for joining us today to go through our Q3 2021 results. With me are Theodor Weimer, Chief Executive Officer; and Gregor Pottmeyer, Chief Financial Officer. Theodor and Gregor will take you through the presentation today and afterwards, we will be happy to take your questions. The presentation materials for this call have been sent out already via email and can also be downloaded from the Investor Relations section of our website. As usual, this conference call will be recorded and is available for replay. Let me now hand over to you, Theodor.
Theodor Weimer: Thank you, Jan. Welcome, ladies and gentlemen from my side as well. Let we start today's call with an update on the implementation progress of our strategy. Afterwards Gregor will present the financial results as always in greater detail. The third quarter was the first period for quite some time where we did not see significant cyclical swings in either direction. Therefore, the 18% net revenue growth resulted purely from the secular and inorganic growth efforts, which form of our growth strategy. Let me highlight the key developments in a different reporting segments, along our value chain. In our pre-trading business, we saw the Qontigo Index and Analytic segment delivering the 10% growth we are targeting as part of our midterm plan. And this also some COVID headwinds remained. In the Institutional Shareholder Services segment, we again achieved the performance significantly above our initial expectation. Amongst others, this was driven by here double-digit growth in ESG related products and services. For our Financial Derivatives segment Eurex, some cyclical headwinds remained, but secular growth due to product innovation offset them. With lower comparables and the more uncertain market environment, it ingredient really [ph] feels like Eurex performance is improving. In our Commodities segment EEX, the secular growth trend of higher market share related to the proliferation of renewables was complimented by cyclical tailwind due to the significantly increased energy prices. In the Foreign Exchange segment 360T, we delivered solid growth areas and rates in a low volatility environment and thus continued to outperform our main peers. In the Cash Equity segment Xetra, similar to the development of the Eurex. We observed a slight improvement of the cyclical environment since August with some year-over-year volume growth. While small net interest income headwinds persisted in the third quarter for our Post-Trading segment Clearstream, secular growth exceeded our expectation and resulted in solid year-over-year growth. With 28% organic growth in the third quarter the Investment Fund Services segment IFS continued to be the by far best performing asset of the group. Once more significantly exceeding our even high growth expectations. It is great to see our organic growth and the benefits from M&A are coming together in this area. Whilst every quarter is different, we expect to now enter a phase with many more like-for-like comparables on the cyclical side. This will help after continue showing the true organic and inorganic growth potential in our rent, in our business model. The potential upswing of the cyclical part of our business resulting from rising inflation, potential tapering of the central banks and ultimately rising rates in the longer term would be quite powerful additional growth potential that is not yet included in our guidance. Since the announcement of our midterm targets last year, we have made good progress towards our 10% compound annual growth rate formula as you can see on slide two. As we all expected net revenue in the first half of this year was under some cyclical pressure because of the record activity levels at the beginning of last year. However, we were able to successfully mitigate these effects with continued secular net revenue growth and then increasing M&A contribution. Due to the cyclical headwinds we experienced, we decided to manage the organic operating costs as prudently as possible. In addition, our continuous improvement efforts are paying off. Therefore, the overall operating cost increase in the first nine-month of the year was entirely driven by consolidation effect. With this, we are well on track to deliver upon our guidance for 2021. And development is also fully in line with the expected Compass 2023 growth trajectory. In order to deliver upon our midterm targets, we'll continue to pursue our successful M&A agenda. The M&A focus areas you see on page three of the presentation are the parts of our business that benefit the most from an inorganic increase our breadth and scale. Let me briefly summarize the current development of our M&A activities. Integration of our latest major acquisition, Institutional Shareholder Services, is very well on track. The initial guidance of more than 5% net revenue growth have proven to be on the conservative side. Our ambition is double-digit growth, which also includes further small acquisitions. We are not just buying U.S. businesses, but we are also continuously reviewing our existing portfolio of assets. In 2020 we sold, as you are fully aware of, the Regulatory Reporting Hub to MarketAxess. In September, we announced the sale of our 50% stake in REGIS-TR to Iberclear. The transaction is expected to close in the first quarter next year, and will result in a proceed of around €50 million. This helps us fund new initiatives. The acquisition of the majority stake in Crypto Finance AG is now scheduled to close in the fourth quarter, especially with its Crypto storage offering it is an important strategic step on our way to building a trusted and fully regulated digital asset ecosystem in Europe. In terms of further M&A opportunities, the high valuation environment we are currently in is certainly challenging, but we continue to see concrete opportunities, mainly in pre-trading data and analytics, and in the fund business where our requirements of a strong strategic fit, good synergy potential, sensible financials and high closing certainty are met. Before I hand over to Gregor, let me give you an update on our portfolio of minority investments, which includes a broad range of attractive businesses along our value chain as you can see on slide four of your presentation. Also, we have invested more than €200 million across our corporate venture capital portfolio and other minority investments. And we have now decided to generally increase the funding by another €200 million on a case by case decision basis. The first new investment is a Series B investment in WeMatch, which is a Televiv based FinTech company, focusing on trading workflows for the wholesale derivatives industry. In the third quarter, we saw a very favorable development of our portfolio. The value of our stake in AI powered tech platform, Clarity AI, increased by more than €30 million due to a new financing round. Since this stake is held at fair value. It resulted in a positive impact, of course, on our income statement. The value of our stake in Forge and Trumid has also developed very favorably. Both organizations are now valued at roughly US$2 billion or more with Forge planning to go public in the stack deal. But those stakes were continued to be hidden reserves since they are not held at fair value. With that, let me now hand you over to you Gregor.
Gregor Pottmeyer: Thank you, Theodor. Let me start with the detailed financials in the third quarter on page five of the presentation. Organic net revenue growth of 7% was entirely driven by secular factors. For the first time this year, cyclical net revenue drivers were broadly new to us as we enter a more like-for-like comparables environment. Inorganic net revenue growth amounted to 11% and was mainly driven by the consolidation of ISS in February. Consequently, the operating cost was almost entirely driven by consolidation effects. The EBITDA includes the results from financial investment of €37 million which benefited from the revaluation of our stake in Clarity AI. Depreciation amounted to €73 million and includes F of around €25 million related to purchase price allocation of acquired assets in accordance with IFRS. On this basis, the cash EPS amounted to €1.74, an increase of 36%. On page six, we show the development of financials in the first nine months of 2021. With the addition of the third quarter, these numbers are now starting to improve, but they still suffer from the effects of some strong cyclical headwinds in the first half of the year. In order to compensate for these effects, we engaged in prudent cost management, which limited the overall operating cost increase in the first nine months to consolidation effects. On slide seven, we provide an overview of the three components of net revenue growth in the first nine months compared to the same period in 2019, which is the Compass base year. Consolidation effects resulted in a compound annual growth rate of 5%. Secular growth being the key component of our strategy to increase net revenue developed as planned with CAGR of 6%. The cyclical growth contribution was negative at the CAGR of minus 2%. This was caused by much lower net interest income at Clearstream and lower trading activity at Eurex, particularly in index derivatives. I am now turning to the quarterly results of the segments, starting with Eurex on page eight. While we saw some temporary spikes on average, market volatility was still relatively low in the past quarter. As a result, index derivatives and margin fees continue to decline against the previous year. This was partly offset by speculation around inflation and long-term rates, which made interest rate derivatives grow by double-digit rate. Some of the cyclical headwinds for Eurex are offset by product innovation, particularly in index derivatives. With this we addressed multiple trends to support the trend towards more sustainable investing and other leading global provider for ESG derivatives. You see our first well position to benefit from the ongoing trend toward passive investments. For instance, by being the leading exchange in terms of open interest in MSCI derivatives. We also continue to support the featurization of OTC derivatives. For example, with the expansion of our Total Return Futures segment. In addition, we are promoting the trend towards micro sized contracts and Crypto derivatives where we see a substantial increase of client demand. Our commodity business, EEX, shown on page nine, started to accelerate in the third quarter for two reasons. First, we saw continued secular growth through market share expansion in light of the trend toward renewables. Second, gas and power prices started to rise significantly in August, which resulted in a substantial increase of short-term trading and hedging activities. Judging from the current market environment, this development is expected to continue well into autumn and winter. Let me now turn to page 10 and the FX business. Even though FX market volatility continues to be on a very low level, we saw good volume and net revenue growth in the third quarter. This was particularly driven by the onboarding of new corporate and buy-side client, with a solid pipeline for the coming quarters. Proof for the success is single digit year-to-date net revenue growth against comparable rates that include a record first quarter last year. With this, we are outperforming our biggest year in Europe. Next, I'm turning to page 11 and our cash market Xetra where we saw quarterly stable net revenue, despite a weaker market volatility environment compared to last year. Operating costs were managed to be flat as well. EBITDA declined because we booked the initial double-digit gain from the better performance at Tradegate last year. This year, the contribution amounted to now regular level at around €7 million per quarter. For our post-trading segment, Clearstream, on slide 12. The third quarter was the first, with overall net revenue growth in Q1, 2020. This is due to the remaining small interest rate related headwinds being overcompensated by solid growth in custody and collateral management. Due to increased amounts of bonds outstanding, entire equity market valuation, the assets under custody are currently calling above our expectation. Despite all the market turbulences the last month of negative year-over-year cost of assets under custody was March, 2018. This shows the steadily growing nature of our post-trading business very well. The Investment Fund Service segment, that you'll find on page 13, even improved its strong performance compared to the first half year with 28% organic net revenue growth in the third quarter. This was based on the continuous onboarding of new clients and portfolios, both in custody and on our distribution platform. The synergies between the two offerings are now starting to play out nicely and we expect growth rates above our guidance to persist for the time being. In addition, we see further M&A opportunity to increase both the scale and scope of offering. To give you more insights into our high growth business segment, we are inviting you to a series of business deep dive meetings. We will start with the IFS segment on November 10 and the ISS segment on November 29. And will continue this next year. Slide 14 shows the Qontigo segment, which benefited from net revenue growth across all line items and achieved our 10% growth target. EBITDA includes the gain of around €32 million from the revaluation of our minority stakes in Clarity AI. On slide 15 we show the Institutional Shareholder Services segment, which again, outperformed our expectation in the third quarter. Growth is mainly driven by the strong performance of corporate solutions and ESG analytics, but the well established governance solution business also showed mid single digit growth. After announcing three smaller M&A transactions this year already, a few additional projects are well underway. Beyond this we see further opportunity to compliment the business inorganically going forward. The combination of strong organic growth prospects and the addition of M&A from time to time should result in double-digit overall net revenue growth. The last page of today's presentation shows our guidance for 2021 in the context of our Compass 2023 midterm plan. Although, Eurex develop weaker than expected for secular reasons, we are completely in line with our guidance for the full year at around €3.5 billion net revenue and around €2.0 billion EBITDA. This is because we saw better than expected secular growth, particularly in the IFS segment. In addition, the inorganic growth component is slightly larger than expected due to early closing of the IFS acquisition. Furthermore, the accelerated full purchase of fund center and the favorable development of some minority investment is a tailwind. This concludes our presentation. Thank you for your attention. We are now looking forward to your question.
Operator: [Operator Instructions] And the first question comes from Benjamin Goy, Deutsche Bank. Please go ahead.
Benjamin Goy: Yes. Hi, good afternoon. One question. You now at €1.45 billion EBITDA, so you might say you're a bit ahead of your run rate for the full year. Also I was wondering how you think about in particular cost spending going into the fourth quarter. And then whether you have kind of a buffer, also Eurex looks to be off to a good start in October or -- yeah, could you also come out above that level? Thank you.
Gregor Pottmeyer: Yeah. Thanks Benjamin for the question. So far with regard to the cost topic, so you have seen over the first nine months were rough -- basically flattish on a constant portfolio basis. And that's also my expectation for the fourth quarter. We confirm our guidance for the full year and do not want to speculate around buffer. So our confirmation is that we achieve our target.
Benjamin Goy: Understood. Thank you.
Operator: The next question comes from Arnaud Giblat, Exane BNP.
Arnaud Giblat: Hi. Yeah. Good afternoon. I've got a question on IFS. I was wondering if you could give us a bit more color around the acquisitions of different platforms and the successful upselling you've had. What are the kinds of sizes of migrations that you're having towards -- for the platforms? There is margin uplifts that take place as a consequence of an upsell, what's the pitch you are having to distributors to convince them to move to fully support [ph]? Thank you.
Gregor Pottmeyer: Yeah. Thanks Arnaud for the question around the Investment Fund Services. So, the effort, a big advantage, big USP. So we have established here a platform, a process, Vestima platform where they have a more standardized process and they have more than 50% cost advantage compared to the back office processes in the banks, and therefore there is cost pressure in the banks. This is always the case. So you have a higher benefit here. And here we are also ahead of our customers. And so far, we have such a long customer pipeline who wants to connect to our platform or to do outsourcing, or even to sell our business, all of these three options I think you know. So that we are very confident that the current level on an organic basis and in the first half year it was 26%, in the third quarter was 28% purely on organic growth and on top as M&A inorganic growth, so this will continue over the next year. So very positive, very strong development.
Arnaud Giblat: Thanks.
Operator: The next question comes from Gurjit Kambo, JP Morgan. Please go ahead.
Gurjit Kambo: Hi. Good afternoon. Just a couple of questions. So, firstly, in terms of the Crypto Finance, can I just confirm you're saying there'd be €20 million of revenues in the final quarter, is that for the full quarter, firstly? And can you give us sort of any indication of what sort of margins that business meets? That's the first question. And then, secondly, just around the -- I guess the more cyclical businesses. I think there's been some changes in the tick sizes of some of the products. Has that had any impact either negative or positive you think on volumes? Those are two questions.
Gregor Pottmeyer: Okay. Gurjit, thank you. So with regard to Crypto Finance, so the €20 million we say, so that is basically the full year number for 2021 roughly. And as we expect consolidation now within the next week, so it will be just a fraction out of that. But with regard to 2022, we are very confident that you're going to see in that asset high double-digit growth on the revenue side and even the asset is currently also has a nice profitability. And obviously, that's also a scalable business because Crypto Finance will help to finance here to scale up. And so far, you will also see a nice margin increase here.
Theodor Weimer: And with regard to the Eurex tick size Gurjit, so this is something we are regularly reviewing, depending on the development in the order book. And indeed in summer, we decided to change the tick size for some of the key benchmark index products. This has been done in consultation with market participants coincided with around 100 buy-side firms and it's beneficial for them because it reduces the implicit transaction costs if the tick size is smaller. So the evidence has shown that in the past and similar constellations on Eurex and other exchanges and therefore it should be a beneficiary to the buy-side going forward.
Gurjit Kambo: Thank you.
Operator: The next question comes from Jochen Schmitt, Metzler.
Jochen Schmitt: Thank you. Good afternoon. I have one question on the custody net revenues of Clearstream. In Q4 2020 these revenues were impacted by fee rebates if I remember correctly. Will there be a similar effect in Q4 this year? Or may we assume quarter-on-quarter growth for Clearstream custodian net revenues in Q4? That's my question. Thank you.
Gregor Pottmeyer: Yeah. Jochen, thanks for the question. As we've mentioned in our presentation, so the Clearstream custody business is a constantly calling business. And so far was the last three year every quarter is basically increased. And that's also our expectation for the next quarter, but also for the next year. So overall we guide some 3% to 5% net revenue cost on a secular basis. If you exclude basically the NII impact and I do not expect that there is a trough in Q4.
Jochen Schmitt: Thank you.
Operator: The next question comes from Tobias Lukesch, Kepler Cheuvreux.
Tobias Lukesch: Yes. Good afternoon. A quick question on the ISS segment. The actual surprise this quarter, the €69 million in revenue. Could you quickly elaborate how sustainable that is? Where the uptake is actually coming from and how we should basically expect the Q4 performance to be? Thank you.
Gregor Pottmeyer: Yeah. Indeed. ISS was a very strong quarter with a €69 million year-over-year increase on a like-for-like basis of 16%. So, yes. So a year ago we basically say it when we ran the process to acquire ISS that we expect at least the course of 5%. So meanwhile, you see our announcement that we basically changed it to basically 10% and of course, including some more like M&A contribution and the additional, let's say, 6% in Q3. So it was a very positive development. And the reason is that that specifically the two areas, so the ESG data analytics has much higher growth rates, it’s clearly by up 20% growth rate. And the more we continue with that so the share of that kind of product will increase and so far this will also help us to increase our quality rates here. The second segment that was growing double-digit is the Governance Solutions, and topic very basically concise and customize into different area. And even the Governance Solutions are basically where -- this is coming from as mid single digit growth. So, overall, I would not guide that we say we're going to continue with the 16% in the next quarter, but that is -- it should cause is an expectation what we have for the next two years.
Tobias Lukesch: So you would not expect a sudden drop in Q4, right? So, mid 60s to the higher 60s is something which is sustainable then.
Gregor Pottmeyer: Yeah. I expect something above 60, right.
Tobias Lukesch: Okay. Thank you.
Operator: The next question comes from Andrew Coombs, Citi.
Andrew Coombs: Good afternoon. Three questions from me place. Number one, the revised guidance in ISS revenues previously more than 5%, now more than 10% in your commentary, you say that embeds some smaller M&A. So perhaps you could just call by how much of increased from more than 5% to more than 10% is because you're now more -- you now have more conviction on the M&A pipeline invested how much of the improvement is organic related. That'd be the first question. Second question would be on the results in strategic investments, the minority investments. And you talk about two-times money multiple. Could you just provide a bit of color on the accounting methodology. There is IPV guidelines that party auditing [ph], same class you can provide on how regular you revalue the stake. And then the final question on Eurex. I think you previously said €20 million revenue opportunity on some of the MSCI derivatives product launches, any update on that and in terms of timeframe for recognizing that? Thank you.
Gregor Pottmeyer: Yeah. Andrew, thanks for the three questions. I think I covered ISS question, but I will repeat it. So we say it's a double-digit growth. So I don't want to say it's more than 10%. We would be say it’s basically double-digit growth here. And we say we include some smaller M&A contributions here, so that's in the range of, let's say, 2% to 3% roughly so -- and the organic growth 7% to 8%. So, roughly in that area. I would expect that that ISS will continue to develop over the next one, two to three years. So that's the answer to the ISS question. With regard to the minority investment, here we changed methodology from an accounting perspective for two or now for three assets. So the majority of investments we did in the past, did not show -- there is an impact in the P&L. So, it's just shown in the equity, in our balance sheet. So that more than two times. There we show in the equity. Andrew, as we decided when you acquire asset then you have to decide how -- what kind of accounting methodology you pick and therefore, the Clarity AI and our 360X and now the new asset here -- we made as an investment WeMatch. So these three assets currently -- these three – you heard -- we will show them as a fair value and valuation in our P&L. So anytime there is another investment areas A, B, C, D. And so that will be revalued. And obviously we expect that we increase our value here. But there's obviously a fluctuation behind it. So, it's a market and pricing what we take here, so no internal cash flow analysis discounted here or whatever. So, it's market prices. And for these three assets, again, Clarity AI, 360X and WeMatch, you will see impact in the P&L. For all the other investments we did in the past, there would be an impact in the -- purely in the equity. And for the future, as we said, we also want to invest another € 200 million for the next three years. The majority will be shown [indiscernible]. Third question, Eurex, MSCI derivatives. Yes. Very positive development. We said in our speaking, we are now number one in the MSCI derivatives and part -- on a global basis. So you are aware that we have the lead here for the MSCI in Europe and also in Asia, so not in U.S. And therefore, we expect really wasn't happening on this element. And so, it's more than €20 million already this year. And I always like to compare -- look at our U.S. stock. We make €400 million to €500 million. I don't want to tell you that that more than €20 million MSCI derivatives we will see in competitive. And you have been shown on Euro STOXX side, but it shows there should be high potential for us really to increase that value -- that this value here in MSCI derivatives.
Andrew Coombs: That's great. Thank you. And sorry for making you repeat your answer on ISS. I appreciate it. Thanks.
Operator: The next question comes from Ian White, Autonomous Research. Please go ahead.
Ian White: Hi. Afternoon. Thanks for taking my questions. Just a couple of quick follow-ups from me, please. Firstly, if there are any help you can provide us on the venture capital portfolio and how to think about further growth in the value you expect to accrue to the group there over the next 18 months, or so please. I wondered if there were any internal projections you might maintain any of those minority stakes, for example, and that could help to inform that discussion. And just secondly, is there anything you say about the pipeline for analytics revenues link Qontigo. I wonder if there are any specific plans there to boost sales efforts significantly during the fourth quarter now that the COVID travel restrictions have been very substantially relaxed. Those are my two questions, please.
Theodor Weimer: Yes. With regards to the venture portfolio, maybe to expand it a little bit. So far over the last three years we have invested some €200 million. And the focus is technology, is innovation, digital assets and so on. And so far, we are quite successful. From a financial perspective, we said it's more than two times, but as important as from a strategic perspective that we learn new technology, new assets, new development, digitization, tokenization, so that is of strategic value for Deutsche Börse. And therefore, we do not allow if we identify an investment where we own, let's say, some 10% to 20% in the beginning that we are also interested to acquire majority if it’s core strategic for Deutsche Börse. And for instance, for 360X and where we started to go into non-financial asset class, like real estate, like art, or like e-sports, we think we can create a competencies of Deutsche Börse as IT technology leading provider, that we can create new marketplaces here. And our expectation is that we really increase the value. And for 360X, for instance, what is under the leadership of Carlo Kölzer, who would develop in his former career the FX business here in Germany 360T, so -- and he was able to create a unicorn. So, why it's not possible to create another unicorn here in 360X. So that is basically our investments where we are committed and we have other good reasons to believe that we are successful here. With regard to your second question around Qontigo and analytics. Yes, indeed. We see now positive development here. So -- and so still we had some -- out of the COVID situation specifically in the U.S. market. So we see progress here in Q3 and we expect further progress here in Q4. Q4 is usually the quarter with the strongest net revenue basis in Qontigo, specific in the analytics business, and we expect the same will happen that we will see continue growth and double-digit growth is our expectation for the next years for Qontigo overall and including analytics.
Ian White: That's very clear. Thank you.
Operator: The next question comes from Martin Price, Jefferies. Please go ahead.
Martin Price: Good afternoon and thanks for the presentation. My question was actually on the post-trade business. I was wondering how the new German digital securities law potentially changes the way you can offer issuance custody and settlement services. And to what extent that could be a game changer in terms of cost savings or margins within the domestic central securities depository or broader Clearstream business as a longer term. Thank you.
Gregor Pottmeyer: Yes. Thanks, Martin. Good question around -- on technology. Yes. Obviously, it's very good that Germany opens now for digital certificates basically, and that helps to boost our strategy. We invest currently in a new digital platform for Clearstream and obviously any regulation, but support here is very positive. So our principal logic is that the go for digital CSD for digital ICS team, that tokenization is a core element here. And to know that this tokenization we did now for all our collateral management activities for this bundle under HQLAX where the most important market participants already connected and it's very much appreciated because we are overall able to increase the efficiency of the markets here. And then we see what kind of benefit we have to give to the market, but depends on what kind of benefits we can keep for us. But overall, I think, it's a very important development and this -- our leading technology, I think we are ahead of the others and that we will have positive impacts for Deutsche Börse.
Martin Price: That's great sounds Gregor.
Operator: The next question comes from Michael Werner, UBS.
Michael Werner: Thank you very much and thanks for the presentation. Two questions and apologies if you address one of these before. But we saw in Q3, the financial expenses had come down quite sharply, and I think you alluded to some tax refunds leading to a lower number in Q3. I was just wondering what that number would have been in a more normalized environment. And then second, I was just wondering if you guys, as a company, have been seeing any pressure with regards to wage inflation or expect any pressure from wage inflation or any other type of inflation. I know you guys have a annual productivity drive to improve productivity by 2% to 3% a year. Is there any way to potentially increase that productivity efficiency to address any inflationary pressures on the cost side? Thanks.
Gregor Pottmeyer: Thanks Michael for the question. With regard to the financial result, there's a one time effect of €7 million so we show minus €4 million, though the real number would be minus €11 million. And the effect is out of the -- to used rate for probation for interest on taxes. So, so far in Germany, the rate was 6% and that was from authority perspective that this is not the right number as an interest rate. And so we included now some 3%, so basically half of it. And so the effect overall on the outstanding and tax provisions is roughly €7 million. So, it's a one-time effect in Q3. With regard to the second question of the wage inflation, yes. We -- obviously currently there is higher inflation rates and so far we have not decided, but what is inflationary salary increase next year. So we are still in the progress to touch on that. But you can see our commitment that in principle, we want to increase the efficiency in our process via our continuous improvement process, that we are able to cover that inflationary increase on salaries. And that's also our target for the next year.
Theodor Weimer: And in addition, Mike, Theodor speaking here. With the majority of our people involved for cost on the HR side are coming from people who are not organized by the trade unions, so where we have voluntarily component in there. And therefore, we do not expect a huge inflation drifts higher than in the past. That's not the case.
Michael Werner: Thanks, Theodor. Thanks Gregor.
Operator: The next question comes from Johannes Thormann, HSBC.
Johannes Thormann: Good afternoon, everybody. I have one -- one follow-up question and one other please. On Clearstream, you elaborated that the revenue growth guidance on NII, excluding the NII effect. How large will be the mist of the NII guidance is here. And what do you expect as a rebound next year? And secondly, 360T FX trading units, we saw good revenue growth, but this did not translate into better EBITDA. Is this business still too small? And how can you scale this business? Thank you.
Theodor Weimer: Yeah. Well, the first question on NII, I think we achieved now the button. It's the some roughly €50 million NII. This year it's basically purely the 30 basis points fee income for Euro and for U.S. dollar denominated cash collateral we hold so that should be the button. And with regard to the outlook, it depends basically when the interest rates and here the short-term interest with the increase. So you are seeing some indications that you potentially do about that, also expectation that you could do something next year. I don't know. So you have basically to make your assumptions, but in principle, there is upside potential for next year and for 2023 what I would also expect. And the customer cash balances is still around, let's say, roughly €15 billion. 50% of US dollar, 35% is euro and 15% are other currency. And now you could make also your math what you would assume for the next one or two or three years. With regard to 360T EBITDA, so that's an impact out of one time cost at -- on the EBITDA number, so the operational number is that we have also double-digit growth on EBITDA, so let's say 10% on revenue and then at least the same on the EBITDA if I exclude some one time allocation costs here. So there is a scalability. And this is an insured and it'll happen in the future.
Jan Strecker: All right. With this, we answered the last question on today's call. I thank you very much for your participation and have a good day.